Operator: Thank you for standing by. My name is Harry and I will be your conference operator today. At this time, I would like to welcome everyone to the Super Micro Computer Incorporated SMCI US Q4 2024 Earnings Call. With us today, Charles Liang, Founder, President and Chief Executive Officer; David Weigand, CFO; and Michael Staiger, Vice President of Corporate Development. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you.
Michael Staiger: Good afternoon and thank you for attending Supermicro's call to discuss financial results for the fourth quarter, which ended June 30th, 2024. With me today are Charles Liang, Founder, Chairman and Chief Executive Officer; and David Weigand, Chief Financial Officer. At the end of today's prepared remarks, we will have a Q&A session for sell-side analysts. Our press release was issued after close of market and is posted on our website, where this call is being simultaneously webcast. The slides that accompany this webcast can be downloaded at ir.supermicro.com. These include statements regarding our financial outlook and operations, our strategy, technology and its advantages, our current and new product offerings, and competitive, industry and economic trends. Any forward-looking statements that we make are based on facts and assumptions as of today, and we undertake no obligation to update them. Our actual results may differ materially from the results forecasted, and reported results should not be considered as an indication of future performance. A discussion of some of the risks and uncertainties relating to our business is contained in our filings with the SEC, and we refer you to those public filings, including our most recent Annual Report on Form 10-K. During this call, all financial metrics and associated growth rates are non-GAAP measures other than revenue, and cash and investments. Reconciliations to the most directly comparable GAAP measures are provided in our earnings press release and slides. This call is being broadcast live on the Supermicro Investor Relations website and is being recorded for playback purposes. An archive of the webcast will be available on the IR website and is the property of Supermicro. Our first quarter fiscal 2025 quiet period begins at the close of business, Friday, September 13th, 2024. And with that, I will turn it over to Charles.
Charles Liang: Thank you, Michael. Today, I am pleased to announce another record quarterly result of $5.31 billion, a 143% year-over-year growth. For fiscal 2024, we have achieved $14.94 billion in revenue, a 110% year-over-year growth rate. To put this in perspective, our Q4 revenue has exceeded the full year revenue of fiscal 2022. Our robust growth is driven by our technology and product leadership in the AI infrastructure market, especially with Generative AI training and inferencing. We have been scaling quickly to secure a large share of AI CSP opportunities, deploying some of the largest AI SuperClusters in the world. Leveraging our system building blocks, we build and optimize rack-scale plug and play solutions with the latest DLC liquid cooling technology, helping our customers achieve the best TTD time-to-deployment and TTO time-to-online and lowest TCO with their AI solutions. Here are some key quarterly highlights. First, Supermicro is pleased to be included in the NASDAQ 100 Index last quarter. Fiscal Q4 net revenue totaled $5.31 billion, up 143% year-on-year with a strong record high backlog. We could ship more if not for DLC liquid cooling component shortage. Fiscal Q4 non-GAAP earnings of $6.25 per share were well above $3.51 last year, which was 78% year-on-year growth. Our Q4 operating margin is 7.8%, which is lower than what we expected due to the higher mix of hyperscale datacenter business and expedited costs of our DLC liquid cooling components in June and September quarters. Some key new components shortage delayed about $800 million of revenue shipments to July, which lowered our EPS for June and will be recognized in our September quarter. The availability of our Malaysia facility later this calendar year and our dominating position in DLC liquid cooling total solutions will be instrumental in increasing our profitability. Supermicro is powering the largest AI factories around the world today. We believe more and more datacenters will be opting for our latest DLC liquid cooling solutions, which dramatically improves TCO relative to traditional air-cooled datacenters and is less environmentally taxing. We have proved that DLC solutions also offer higher performance and better uptime, with advantage to support the upcoming new AI chips. At Computex Taipei, I shared that Green Computing can be free with a big bonus. This means the cost of deploying liquid cooling DLC is on par with traditional air-cooled datacenter and significantly lowers the operational power cost. Since then, we have been delivering over 1,000 highly reliable DLC racks to multiple customers. Our goal is to quickly make DLC liquid cooling to be a mainstream solution for most datacenters and AI factories that focus on increasing efficiency and performance while reducing OpEx. We are targeting 25% to 30% of the new global datacenter deployments to use DLC solutions in the next 12 months, with most deployments coming from Supermicro we believe. We are happy to help any customers transform and adapt their existing air-cooled datacenters to DLC liquid cooling in the coming years for four major reasons. First, it helps customers save energy costs up to 40%. Second, it boosts datacenter computing performance and third, it helps pull in customers' datacenter lead times or to be more precisely reduces their time to on-line because of less electrical power required and fourth, it reduces carbon footprint for our one-and-only mother earth. As an end-to-end IT infrastructure solutions company, our customers' experience is our number one priority. By leveraging our system building block and rack scale plug and play solutions, we help our customers achieve the best time-to-market advantage with new and performance optimized technologies. Now, we are further expanding this solution to the entire datacenter. With rapid deployment of large-scale AI infrastructure, datacenters worldwide are facing power shortages and cooling inefficiency challenges. Building these new AI-ready datacenters traditionally takes a long time, averaging three years for example. Our upcoming Supermicro 4.0 DCBBS, Datacenter Building Block Solutions will reduce customers' new datacenter build time from about three years to two years. For smaller facilities or old datacenter transformation, Datacenter BBS can enable an optimized, cost-effective datacenter in less than one year or even in just six months. This new offering will significantly improve datacenters' TTO time-to-online and cost, with full integration of AI compute, server, storage, networking, rack, cabling, DLC liquid cooling facility water tower, end-to-end management software, onsite deployment services and maintenance. We will start offering it later this calendar year. Playing a significant role in realizing our Datacenter BBS and providing additional economies of scale, our new Malaysia campus will start production this November. With its geographic advantages, we expect it to quickly ramp up shipping volume and improve our cost structure. In the US, we are adding new buildings and production POC provisioning capacity near our Silicon Valley headquarters as well, which will further boost our monthly DLC liquid cooling rack capacity and value this fiscal year. Moreover, we are on track to expand to a few other global manufacturing locations, leveraging our strength in product design, build quality, supply chain and deployment, positioning Supermicro as one of the largest IT infrastructure company. In summary, we are entering fiscal 2025 with record-high backorders, winning products, large volume DLC liquid cooling capacity, Datacenter BBS and more new customers. While our long-term investments impact short-term profitability, they position us well for future success by providing a sustainable competitive advantage and necessary economies of scale. This gives me confidence to forecast the September quarter revenue between $6 billion to $7 billion, and fiscal 2025 revenue between $26 billion to $30 billion. Again, we anticipate that the short-term margin pressure will ease and return to normal ranges before the end of fiscal 2025, especially when our DLC liquid cooling and Datacenter Building Block Solutions start to ship in high volume later this year. Lastly, I would like to announce a 10-for-1 forward stock split of Supermicro's common stock to make ownership of Supermicro stock more accessible. We are targeting trading on a split adjusted basis commencing at market open on October 1st, 2024. Before passing the call to David Weigand, our Chief Financial Officer, I want to say thank you to our partners, customers, Supermicro employees on an incredible year where we were able to bring AI at scale to the world and to our shareholders for your continued support. David?
David Weigand: Thank you, Charles. We had robust growth in the fiscal year, and I am pleased with the progress we made on our strategic initiatives. For fiscal year '24, we reported revenues of $14.9 billion, representing 110% growth over fiscal year '23 revenues of $7.1 billion. Fiscal year '24 non-GAAP diluted EPS of $22.09 grew 87% over fiscal year '23 non-GAAP diluted EPS of $11.81. Between fiscal year '21 and fiscal year '24, we achieved significant operating leverage with revenues growing at a compound annual growth rate of 61% per year while non-GAAP operating expenses only grew at 19% per year. Between fiscal year '21 and fiscal year '24, gross margins have met or exceeded the target range of 14% to 17%. Non-GAAP operating margins were above the target range of 5% to 8% between fiscal year '21 and fiscal year '24 and more than doubled from 4.4% in fiscal year '21 to 10% in fiscal year '24 due to strong revenue growth and operating leverage. Q4 revenues were $5.31 billion, up 143% year-over-year and up 38% quarter-over-quarter, and above the midpoint of guidance of $5.1 billion to $5.5 billion. Growth was driven by strong demand for next generation air-cooled and direct liquid-cooled rack-scale AI GPU platforms, representing over 70% of revenues across enterprise and cloud service provider markets where demand remains strong. We exited the year with an acceleration in innovative DLC products, a large design win pipeline and a strong backlog, positioning us for continued growth in fiscal year 2025. We expect gross and operating margins to gradually increase in the year driven by product and customer mix, manufacturing efficiencies for new DLC AI GPU clusters and new platform introductions. As Charles discussed, shipments may continue to be constrained in the short-term by supply chain bottlenecks for key new components for our advanced platforms. However, long-term gross margins will benefit from lower manufacturing costs as we scale up production in Malaysia and Taiwan, in addition to expansion in the Americas and Europe. During Q4, we recorded $1.83 billion in the enterprise-channel vertical, representing 34% of revenues versus 49% in the last quarter, up 87% year-over-year and down 3% quarter-over-quarter. The OEM appliance and large datacenter segment revenues were $3.41 billion, representing 64% of Q4 revenues versus 50% in the last quarter, up 192% year-over-year and up 76% quarter-over-quarter. Emerging 5G, Telco, Edge/IoT revenues were $75 million or 2% of Q4 revenues. For fiscal year '24, enterprise-channel revenues grew 79% to represent 41% of total revenues. The OEM appliance and large datacenter segment grew 149% and represented 58% of total revenues. The emerging 5G, Telco, Edge/IOT segment represented 1% of total revenues. One CSP/large datacenter customer represented approximately 20% of revenues for fiscal year '24. Server and Storage Systems comprised 95% of Q4 revenue and Subsystems and Accessories represented 5%. ASPs increased on a year-over-year and quarter-over-quarter basis driven by the value and complexity of rack-scale Total IT Solutions. By geography, US represented 61% of Q4 revenues, Asia 24%, Europe 10%, and Rest of World 5%. On a year-over-year basis, US revenues increased 94%. Asia increased 437%, Europe increased 128%, and Rest of World increased 386%. On a quarter-over-quarter basis, US revenues increased 20%, Asia increased 66%, Europe increased 74% and Rest of World increased 187%. The Q4 non-GAAP gross margin was 11.3% versus 15.6% in Q3 due to product and customer mix, focus on winning strategic new designs with competitive pricing and higher initial costs in ramping production of new DLC AI GPU clusters. For fiscal year '24, the non-GAAP gross margin was 14.2% versus 18.1% for fiscal year '23. We have a path to improve gross margins to the target range of 14% to 17% as we introduce innovative platforms based on multiple new technologies from our strategic partners and improved manufacturing efficiencies on our DLC solutions. Q4 operating expenses on a GAAP basis increased by 15% quarter-over-quarter and 75% year-over-year to $253 million driven by higher compensation expenses and headcount. On a non-GAAP basis, operating expenses increased 11% quarter-over-quarter and 39% year-over-year to $185 million. Q4 non-GAAP operating margin was 7.1% versus 11.3% in Q3, due to the lower gross margins. Other income and expense for Q4 was $11 million, consisting of $3 million in interest expense and $14 million from interest income on higher cash balances offset by a loss from foreign exchange and other investments. Interest expenses decreased sequentially as we paid down short-term bank credit facilities. The tax provision for Q4 was $1 million on a GAAP basis and $21 million on a non-GAAP basis. The GAAP tax rate for Q4 was 0.3% and the non-GAAP tax rate was 5%. The GAAP tax rate was 4.9% for fiscal year '24 versus 14.7% in fiscal year '23 and the non-GAAP tax rate was 10.4% in fiscal year '24 versus 15.9% in fiscal year '23. Q4 GAAP diluted earnings per share of $5.51 was below the guidance of $7.20 to $8.05 and non-GAAP diluted EPS of $6.25 was below the guidance of $7.62 to $8.42 due to lower gross margins and higher operating expenses in the quarter. The GAAP fully diluted share count increased quarter-over-quarter from 61.4 million to 64.2 million and the non-GAAP share count increased sequentially from 62 million to 64.8 million shares reflecting the effects of the two recent stock offerings and the convertible bond offering. Q4 cash flow used in operations was $635 million compared to $1.52 billion in the previous quarter, as inventory and accounts receivable grew due to higher levels of business and the timing of shipments. For fiscal year '24, cash used in operations was $2.5 billion due to strong revenue growth of 110% and working capital needs to support large customer design wins. Q4 closing inventory was $4.4 billion in anticipation of future growth. CapEx for Q4 was $27 million resulting in negative free cash flow of $662 million for the quarter. CapEx for fiscal year '24 was $137 million up from $37 million in fiscal year '23 as we invested in new property, plant, and equipment globally, including our greenfield Malaysia plant. The Q4 closing balance sheet position was $1.7 billion, while bank and convertible note debt was $2.2 billion resulting in a net cash position of negative $504 million versus a net cash position of $252 million last quarter. Turning to the balance sheet and working capital metrics compared to last quarter, the Q4 cash conversion cycle was 94 days versus 96 days in Q3. Days of inventory decreased by 10 days to 82 days compared to the prior quarter of 92 days. Days sales outstanding was unchanged at 37 days while days payables outstanding decreased by 8 days to 25 days. Now turning to the outlook for Q1 fiscal year '25, we expect strong growth as we ramp new air-cooled and DLC AI GPU design wins with new and existing customers. For the first quarter of fiscal 2025, we expect net sales in the range of $6 billion to $7 billion. GAAP diluted net income per share of $5.97 to $7.66 and non-GAAP diluted net income per share of $6.69 to $8.27. We expect gross margins to improve sequentially due to product and customer mix and improving manufacturing efficiency. GAAP operating expenses are expected to be approximately $282 million and include $84 million in stock-based compensation expenses that are not included in non-GAAP operating expenses. The outlook for Q1 of fiscal year 2025 fully diluted GAAP EPS includes approximately $48 million in expected stock-based compensation expenses, net of tax effects of $35 million, which are excluded from non-GAAP diluted net income per common share. We expect other income and expenses, including interest expense to be a net expense of approximately $20 million. The company's projections for Q1 fiscal year '25 GAAP and non-GAAP diluted net income per common share assume a GAAP tax rate of 9.9% and a non-GAAP tax rate of 14.6%, and a fully diluted share count of 65 million for GAAP and 66 million shares for non-GAAP. We expect CapEx for Q1 to be in the range of $45 million to $55 million. For fiscal year 2025, we are introducing guidance for revenues from $26 billion to $30 billion. Michael, we're now ready for Q&A.
Michael Staiger: Harry?
Operator: Thank you. [Operator Instructions] Our first question today is from the line of Michael Ng of Goldman Sachs. Please go ahead. Your line is now open.
Michael Ng: Hey, good afternoon. Thank you very much for the question. I guess, I have, two. Encouraged to see the revenue guidance for $26 billion to $30 billion for fiscal '25. I was wondering if you could just provide a little bit of color around the assumptions underpinning that revenue guidance and any visibility that you have in terms of backlog and some of the contingencies you might be assuming in terms of supply availability? And then secondly, I was just wondering if you could provide a little bit more color around the growth in operating margin, improvement throughout the year. Should we think about the, the long-term gross margin targets as applicable for the full year as well or exiting the year? Thank you.
Charles Liang: Okay. Thank you. I mean as to what we share, I mean, we continue to gain design wins and we see lots of new product available, including DLC liquid cooling and Datacenter Building Block Solutions, we see a lot of customer engagement and also more new customer like to engage with us. So with our capacity continue to grow $26 billion to $30 billion. That's our target for the next 12 months. And as to gross margin, as what we just mentioned, our DLC liquid cooling now have been very mature. So we are able to take advantage from that and also Datacenter Building Block Solutions that provides a much better value, improve customers' Datacenter time to online and also EG customers job to build their data center. So all of those will increase our profitability gradually.
Michael Ng: Thank you, Charles.
Charles Liang: Thank you.
Operator: Our next question today is from the line of Samik Chatterjee of JPMorgan. Please go ahead. Your line is now open.
Samik Chatterjee: Yes. Hi. Thanks for taking my questions. I have a couple as well. Maybe if I can start with the gross margin performance in the quarter. I know you mentioned you had a hyperscale customer, which impacted product customer mix and margin impact there. How should we think about sustainability or sort of repeat orders from that customer? It sounds like you're saying that's part of the improvement and you probably don't see as much repeat, but just wanted to confirm if that's how we should be thinking about the hyperscale customer you had, which is that it doesn't really repeat through fiscal '25. And I have a follow-up.
Charles Liang: Yes. We have been very consistent. I mean before we are Silicon Valley based, operations was in Silicon Valley. So we focus on enterprise, high-quality, higher performance customer only, that's before. But when we start to take production operation advantage from Taiwan, we start to grow large-scale datacenter customer. And now we have a huge capacity in Malaysia, it will be ready by later this year. So with the economic large-scale advantage, we are waiting for a large customer. So we will continue to grow with large customers. At the same time, we also continue to enhance our enterprise customer base. So recently, we also see the growth in some demand from our enterprise with our software total solution, I mean Datacenter Building Block Solutions. We start to gain more attraction for the datacenter, I mean, enterprise customers as well. So we believe long-term economic scale, the enterprise customer base and overall Taiwan and Malaysia advantage cost advantage that we have a way to grow gross margin and net profit.
Samik Chatterjee: Got it. And for my follow-up, Charles, there have been reports more recently about the delay of the GB200 from NVIDIA. Just wondering if you can share your thoughts of how that would impact the conversion of the robust backlog or pipeline that you're looking at to revenue through the year? And is that accounted for when you talk about liquid cooling now being a materially higher portion than what you talked about at COMPUTEX. Are you taking some of those delays into account? Thank you.
Charles Liang: Yes. I mean, yes, we heard NVIDIA may have some delay, right? And we treat that as a normal possibility. When they introduced new technology, new product, they are always have a chance to -- there will be a push out a little bit. In this case, it pushed out a little bit. But to us, I believe we have no problem to provide the customer with a new solution like H200 liquid cooling. We have a lot of customers like that. So although we hope better deploy in the schedule, that's good for a technology company, but this push out overall impact to us. It should be not too much.
Samik Chatterjee: Okay. Thank you. Thanks for taking my question.
Operator: Our next question today is from the line of Ruplu Bhattacharya of Bank of America Merrill Lynch. Please go ahead. Your line is open.
Ruplu Bhattacharya: Hi. Thanks for taking my questions. I have two of them. The first one relates to the gross margin performance in the quarter. David, can you specify of the 430 bps sequential decline, how much was the result of the customer mix, which is the higher hyperscale customer mix versus the impact of ramping liquid cooling solutions? And how much was that impact to gross margins? And in terms of, I think, Charles, you said you lost about $800 million of revenue in the quarter because of nonavailability of components. Is that all liquid cooling related or was that related to other things like GPUs as well? Thank you.
Charles Liang: Pretty much liquid cooling key components related. But now it's much ready now. I mean when we move to July, August, we have a much liquid cooling key components are available now.
David Weigand: Ruplu, it wasn't a loss. It was pushed out into the next quarter. Yes. So there was -- we really -- we were surprised by the amount of demand that we had in this market. And so we -- our manufacturing efficiency improves -- has been improving every day. And so we expect that to continue and that's going to help our gross margins going forward as we deploy liquid cooled racks at scale.
Ruplu Bhattacharya: And is that deployment expected to be linear for these liquid cool racks throughout the year or is it more back-end loaded? Thanks. Thanks for taking my questions.
Charles Liang: Basically, we support a handful customer for liquid cooling. And most of them, once they try our liquid cooling, they will continue to deploy higher percentage with liquid cooling because the cost -- the hardware acquisition cost is about the same, but they will save a lot of energy costs. So I believe this growth will be consistently growing.
Ruplu Bhattacharya: Thank you.
Operator: Our next question today is from the line of Ananda Baruah of Loop Capital. Please go ahead. Your line is open.
Ananda Baruah: Yes. Good afternoon, guys. Thanks for taking the question. Charles, you said a lot of good stuff on this call. So I'll try to just ask about one or two things here. I guess to start, could you frame for us how the company is thinking about its liquid cooling capability relative to others who are providing liquid cooling service as well. That's been a big top of the conversation. It sounds like you guys are really high on your capability and it seems to be showing up at least in the guidance. But I think additional context around how you guys are competitively positioned and maybe some of the technical reasons why would be super useful for those. And then I just have a quick follow-up.
Charles Liang: Yes. Thank you. I mean as you know liquid cooling have been in the market for 30 years and market share compared with overall datacenter size always small, less than 1% or close to 1%, I would have to say. But just June and July two months alone, we shipped more than 1,000 racks to the market. And if you calculate 1,000 racks, AI rack is about more than 15% on a global datacenter new deployment. So we are very happy. We are happy that the industry pushed from air cooled to liquid cooling and to help customer save energy costs and reduce carbon footprint. At the same time, because of the liquid cooling, DLC liquid cooling datacenters require 30% to 40% less power, that's why it's met customers' datacenter availability quicker because the customers don't have to wait for higher power budget from a powering company. So overall we see more customers like our liquid cooling solution.
Ananda Baruah: And Charles did I hear you accurately that you guys think you did 50% liquid cooling share in the June quarter?
Charles Liang: I believe for June and July in last next two months we may ship at least 70% to 80% or liquid cooling compared with all the liquid cooling in the world. So for liquid cooling, we have at least 70% to 80% market share.
Ananda Baruah: That's useful. Thank you. And then just real quick, my follow-up is you've made remarks earlier this year in the recent past about how you envision expanding your rack capacity sort of over the sort of into the future. I was just wondering if you could give us an update on how to think about, how you're thinking about rack capacity expansion for both liquid cooled and air cooled and that's it for me. Thanks.
Charles Liang: It's a very good question. I mean, last month, we have about 1,000 racks per month liquid cooling capacity. And today, we already grow another 50%. So now we have a 1,500 rack per month capacity. By this year-end, we will grow that to 3,000 rack per month. That's with liquid cooling alone. So we really believe liquid cooling is a much better choice for the market and we provide kind of consultation to customers. And most of the customer when discuss with our engineering team, they love liquid cooling. And again, we are growing customer base for liquid cooling very strongly. And we're really happy for that because minimized power consumption have been common value to the world and especially save operation costs.
Ananda Baruah: And that's fiscal year fiscal year you say end of the year and the fiscal year?
Charles Liang: For the next 12 months, I believe, liquid coding will be a big portion of our business.
Ananda Baruah: Thank you.
Charles Liang: Thank you.
Operator: Our next question today is from the line of Aaron C. Rakers of Wells Fargo. Please go ahead. Your line is open.
Aaron Rakers: Yes. Thanks for taking the question. I've got two as well. I guess I want to go back to the earlier question on Blackwell just because I think it's going to be a key focal point for a lot of investors here especially as we kind of shape the full year guidance. So Charles I want to be clear. So has your guidance contemplated as we think about the December quarter, do you believe that you'll be shipping the Blackwell platform solutions for revenue in the December quarter or should we think about the full year guide is a bit more weighted to the back half of the fiscal year given some of these concerns around the timing of Blackwell availability and NVL36 and NVL72 platforms, et cetera. I'm just curious of how you want us to say for the street to think about the cadence of that full year guidance shaping up on a quarterly basis. Appreciate you're not going to give quarter-by-quarter guidance.
Charles Liang: Yes. Thank you. I mean, indeed, we are relatively very conservative. I understand Blackwell may postpone how much we don't exactly know because the new technology always what can be pushed out, right? So for Q3, for sure, we do not expect any Blackwell volume. For Q4, I mean December quarter, I guess, it will be very small. Engineering sample small volume. So the real volume, I believe, had to be March quarter next year. And that's why we foresee only $26 billion to $30 billion.
Aaron Rakers: Yes. That's very helpful. And then as a quick follow-up, I want to go back to kind of the gross margin discussion too. We talked about the impact of the DLC platforms. You talked about product mix. One of the other comments, David, you had made was that winning strategic new customers was a factor in that 430 basis point gross margin degradation. Can you help us appreciate what exactly the impact of that has been? How that might have changed this last quarter? And then I'll flip my final one in. Any disclosure on purchase obligations coming out of this last quarter? Thank you.
David Weigand: Yes. Thanks. I'll answer those in reverse order. We don't have any announcements in terms of purchase obligations and so we'll point you to the 10-K for that. But with respect to your first question, I would say, we prepared the market for a downturn in margins or a softening of margins in our guidance last quarter. But even we were surprised by the acceleration that we saw in the liquid cooled rack market. And so we had to ramp up our supply chain. We paid a lot of expedite costs and higher supply chain costs. So I think as the supply chain improves, we expect those efficiencies to now come back out, but that impacted us more than we had expected.
Charles Liang: Especially for June quarter.
David Weigand: Yes, for the June quarter.
Aaron Rakers: Is that the majority of the -- was that the majority for the 430 basis point decline?
David Weigand: Well, no, I think. No, so half was targeting specific accounts like we announced last quarter. And the other half was really the higher supply costs that we encountered.
Aaron Rakers: Yes. Very helpful. Thank you, guys.
Operator: Our next question today is from the line of George Wang of Barclays. Please go ahead. Your line is now open.
George Wang: Hey, guys. Thanks for taking my question. I have two parts. Firstly, can you give more color just in terms of share gains, especially within the hyperscale arena? Traditionally, Supermicro has been more Tier 2, Tier 3 enterprise. And you guys talked about higher mix on hyperscale. Just curious does that mean you guys are winning new penetration to the hyperscale space?
Charles Liang: Yes. Again like what I just mentioned with our Taiwan capacity is getting bigger and Malaysia capacity will be ready. So we're fully ready for large scale datacenter customer, but we will be selective. So that's why we foresee only $26 billion to $30 billion. If we try to be more aggressive in a large scale, our growth can be even faster than that. But we try to grow in both ways enterprise and large scale datacenter kind of try to balance so to maintain our healthy profitability.
George Wang: Okay. Great. Just a second question, if I can squeeze in. Just as we enter the Blackwell era with liquid cooling kind of larger deployments, higher ASP, but also comes with some potential working capital need. Just in terms of the capital raise, is that fair to say you guys are sufficient or there could be some potential to come to the market? Just maybe you can talk about the puts and takes for the next 12 months.
Charles Liang: Liquid cooling, I mean, for sure, is necessary and it's very helpful for Blackwell solution. Although Blackwell solution pushed out a little bit. But indeed we enable liquid cooling for H100 and H200 as well and a lot of customers are interested in our H100 and H200 liquid cooling now indeed. So liquid cooling to from our position we'd like to support the whole datacenter not just Backwell.
George Wang: Okay. Can you address on the working capital if you can give any color on that?
David Weigand: Yes. So we announced a $500 million credit line with a group led by the Bank of America. And so we expect we are really working on our balance sheet and leveraging our balance sheet. And we expect to some announcements to be coming in terms of additional loan possibilities in the future.
George Wang: Okay. Great. I will go back to the queue. Thank you.
Operator: Our next question today is from the line of Jon Tanwanteng of CJS Securities. Please go ahead. Your line is open.
Jonathan Tanwanteng: Hey, good afternoon. Thank you for taking my question. I was wondering if you could just talk, given your time to market and volume capabilities and liquid cooling, the energy and compute advantages, can you walk through what your pricing strategy is and why not pass those costs on especially relative to the value that you're providing? Is it a stronger competitive environment close to behind you or are you effectively trying to get ahead of them and get that share first?
Charles Liang: Yes, I mean, indeed, the liquid cooling from our point of view it is really a good value to the whole market and our whole planet because of less energy consumption, right? So we enable liquid cooling primarily for Blackwell, right, because Blackwell higher power that's for sure. Lots of cases need liquid cooling. But we enable that for H100, H200 and regular CPU as well. Because overall liquid cooling once mature, once economical scale is good enough, it's good for all different kind of computing. And not exactly now, we are deploying, we are promoting. Lot of our customer continue to interest in our liquid cooling even enough for Blackwell.
Jonathan Tanwanteng: Got it. Thank you. And then you mentioned getting back to the gross margin target range by the fiscal year-end. Can you help us narrow down a little bit more where in that target range you expect to be at the low end? Is it more towards the middle kind of help us understand how you're getting there?
Charles Liang: Okay. For June, it's really a unique quarter because we deploy lots of liquid cooling and we pay lots of exploration cost. So that makes our June gross margin much worse. But now, indeed, our liquid cooling technology have been getting very mature, and we have a high volume now. So that though our liquid cooling cost are now. And however we try to promote liquid cooling as a mainstream product solution. So we try not to add the value too much to customers. But, instead, we try to gain market share and make liquid cooling everywhere.
Jonathan Tanwanteng: Okay. Thank you. And any color just on where in the margin range you expect to end up?
David Weigand: Well, so we, I think if you look at the guidance that we gave for Q1, we expect to be above 12% in the first quarter. And we're doing -- we'll be working very hard to move back into the range as we mentioned as soon as quickly as we can.
Charles Liang: Especially with our commissioned Datacenter Building Block Solutions with more software, on-site deployment, maintenance and kind of end-to-end management service. So our profit margin should grow from a Building Block Solution for Datacenter very soon.
Jonathan Tanwanteng: Great. Thank you, guys.
Operator: Our next question is from the line of Mehdi Hosseini of SIG. Please go ahead. Your line is open.
Mehdi Hosseini: Yes. Thanks for taking my question. I just have two housekeeping item. David, what kind of other income did you have in the June quarter. You did say that you had interest income of $12 million that you realized in the June quarter?
David Weigand: That was a net figure, Mehdi. So we actually had $20 million of interest income, but that was offset by some adjustments too, some investment adjustments which brought down lower.
Mehdi Hosseini: But the $20 million is that interest income. The $20 million is that interest income?
David Weigand: $20 million was interest income, yes, from higher cash balances. That was offset by some investments.
Mehdi Hosseini: Okay. All right. And then a question I have for Charles. Obviously, you've done a good job of doubling revenue in fiscal year '24. But you also had a negative free cash flow of $2.6 billion. And if I were to look at the high end of your revenue guide for fiscal year '25, you're on track to double revenues again. Does that mean that you're going to need to burn another $2.5 billion to $2.6 billion of free cash flow to hit those revenue targets?
Charles Liang: Not necessarily. I mean if we try to be very aggressively growing market share maybe if example we forecast on $30-something billion, right, so in that case, we may need more. But if we try to focus on below $30 billion then not necessary.
David Weigand: And Mehdi, one thing I would add to that is we believe that we have an IG profile. And as such, like I mentioned earlier, we're starting to leverage our balance sheet more with targeting toward unsecured debt. And so that will help us on an inter-quarter basis.
Mehdi Hosseini: Got you. Thank you. What should I assume for fiscal year '25 CapEx?
David Weigand: No. We don't have -- we're not giving a guide at this time.
Mehdi Hosseini: Okay. But would it be down on a year-over-year basis since most of the expansion in Malaysia and US are behind us?
David Weigand: Well we have other projects going on expansion here in the US, but we'll -- nothing to announce today.
Mehdi Hosseini: Got you. All right. Thank you, Dave.
Operator: Our next question today is from the line of Nehal Chokshi of Northland Capital Markets. Please go ahead. Your line is now open.
Nehal Chokshi: Yes. Thank you. I want to talk about DLC and some of the chatter that's been out there from some competitors and that, it sounds like failure rates for DLC, broadly speaking, not necessarily for Super Micro is high relative to air-cooled. Can you comment on what is Super Micro's DLC failure rates relative to air-cooled and then also relative to other DLC solutions. And I guess maybe we can do it on a per-node basis annualized failure rates or whatever basis you want to utilize?
Charles Liang: Yes. We spent a lot of effort in last, I would like to say, two years to prepare our optimized DLC solution, including lots of new design, redesign, refining the components of the system. So finally, I mean, about May this year, right, we have our DLC solution for you ready. And we have more than a handful, high-profile customers who really like our DLC solution. That's why we're deploying the solution to them and that's why we paid lot of exploration charge, right? But now the good thing is our whole DLC solution has been very mature and ready for really high-volume production. So now for any customer want DLC, we are able to support them quickly and with a much reasonable cost now. So looking forward, I mean, DLC, I believe, will be a really popular solution for the world because it's more efficient, especially energy saving. So we are very happy that we establish DLC solution much ahead of anyone else. Again like June and July, I believe, we have at least 70% or 80% maybe even higher market share in the world for DLC. And air-cooled, again, we have been -- have a very optimized air-cooled solution. So we continue to promote air-cooled solution for sure.
Nehal Chokshi: And do you have any thoughts on the actual like failure rates relative to air-cooled and then relative to other suppliers DLC solutions?
Charles Liang: Yes, liquid cooling, as you know, because a very high efficient in cooling, right? So they allow CPU, GPU other components running at a lower temperature. And then in lot of case, indeed, are able to optimize customers' datacenter performance by percentage, right, a couple of percentage to even high single-digit percentage. So a lot of customers really like DLC at this moment.
Nehal Chokshi: So are you saying that you actually can achieve lower failure rates with DLC because you can run the GPUs at lower temperatures.
Charles Liang: CPU, GPU and other components at a lower temperature that which you have the kind of the whole datacenter quality, uptime, availability time.
Nehal Chokshi: Okay. And then my follow-up question is that, I think, June 21st, you did an 8-K after market close, leasing significant datacenter space from prime datacenter and then you're leasing it back to Lambda Labs. It seems like a rather odd arrangement. Can you guys talk about the purpose of doing this?
David Weigand: So we consider ourselves experts in datacenter solutions. And so this is really just one more facet of being a total provider.
Nehal Chokshi: Okay. Thank you.
Operator: Thank you. And our next question is from the line of Thomas Blakey of Key Corp. Please go ahead. Your line is open.
Thomas Blakey: Hi, guys. Thanks for taking my questions. I have a few here. David, could you comment on the mix shift -- mix rather of AI rack scale revenue here in the quarter? Was it -- did it increase quarter-on-quarter in the June quarter?
David Weigand: Absolutely. I mean our revenues went up -- over a $1.5 billion and that was primarily driven by liquid cooled racks.
Thomas Blakey: Okay. Excellent. And an update maybe on the capacity utilization did that increase as well or decrease? And relatedly to that, you commented last quarter that there would be a number, I think of about 1,000 rack per month going out at a 64 GPU configuration? Could you give an update in terms of did you shipped those to the three customers? One was new in the June quarter? And again an update on the capacity utilization related to that question.
Charles Liang: Yes. Customers like our high density computing solution especially per rack. That's why you say 64 GPU or more GPU, right? So we are very efficiently provide the customer for whatever configuration they like. And very soon we will allow something even better for sure.
Thomas Blakey: So that -- so to be clear is that a yes that you shipped 3,000 racks during the quarter at that configuration to those three customers?
Charles Liang: We are building that capacity for that because how many customers will move to DLC, especially when Blackwell ready. So we are very optimistic for that, especially after Blackwell in high volume production. And we have many Blackwell ready optimized system and rack scale design.
David Weigand: Yes. But Thomas the 1,000 per month was the capacity. We're not saying that we shipped 1,000 per month. But one thing I can tell you is that the efficiency, yes.
Thomas Blakey: That's clear. Okay.
Operator: Thank you. And we have run out of time for any further questions. So this will conclude the Super Micro Computer Incorporated Q4 2024 Earnings Call. Thank you to everyone who is able to join us today. You may now disconnect your lines.